Operator: Greetings and welcome to the General Mills Second Quarter Fiscal 2022 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a Q&A session. [Operator Instructions] As a reminder, this conference is being recorded Tuesday, December 21st, 2022 [ph]. I would now like to turn the conference over to Jeff Siemon, VP of Investor Relations. Please go ahead.
Jeff Siemon: Thank you, Silvana and good morning everyone. Thank you for joining us today for our Q&A session on second quarter results. I hope everyone had time to review our press release, listen to our prepared remarks, and view our presentation materials, which were made available this morning on our Investor Relations website. It's important to note that in our Q&A session, we may make forward-looking statements that are based on management's current views and assumptions, including facts and assumptions related to the potential impact of the COVID-19 pandemic on our results in fiscal 2022. Please refer to this morning's press release for factors that could impact forward-looking statements and for reconciliations of non-GAAP information, which may be discussed on today's call. We're here with Jeff Harmening, our Chairman and CEO; Kofi Bruce, our CFO; and Jon Nudi, Group President of our North America Retail segment. So, let's go ahead and get to the first question. Silvana, can you please get us started?
Operator: Certainly. [Operator Instructions] And our first question is from Ken Goldman with JPMorgan. Please proceed with your question.
Ken Goldman: Close enough. Good morning everybody.
Jeff Harmening: Good morning.
Ken Goldman: You highlighted that you're actions offset supply disruptions in logistics issues that are starting to bear fruit. Great to hear, obviously, but we've sort of been seeing similar pattern from the whole sector for a while now, like what is, I guess, "hidden costs arising", management team think the worst is over, and then the next quarter unfortunately the pattern repeats. So, I guess my question is, in the wake of these exogenous issues continuing to crop up, this guidance has any sort of bigger cushion in it, bigger than usual to kind of account for the potential that some of these logistics and supply shortages worsen once again in the back half of the year?
Kofi Bruce: Sure Ken. This is Kofi. I appreciate the question. As you can obviously see we gave a little bit wider guidance on operating profit than we did on the topline and EPS as a result of the operating profit guidance, which reflects I think what you're alluding to which is the underlying volatility in this environment, right? So -- and the root cause of this we see about eight to tenfold increase in the amount of disruptions in our supply chain. So, the predictability in that and has been linked to quarter, but what we provision and expect in the back half is not as much of an improvement to be candid. So, as you think about it in relation to last year, we saw a ramp-up in the external supply chain costs in the back half of the year. We don't expect these costs that we're seeing for disruptions to really materially change in the balance of a year, but just to replace the ramp-up in those external supply chain costs. And the lighter guidance reflects that the volatility in the call.
Ken Goldman: Okay. Thank you for that. And then quick follow-up. On your cereal business, obviously, you've taken a great deal of share from your larger competitor that's having some unfortunate issues of its own right now. Can you just walk us through a little bit where your plants are in terms of utilization in case that the demand for your products continues to grow over the next few months.
Jon Nudi: Hi Ken, it's Jon Nudi. I will tell you we feel really good about our cereal business and certainly there has been some short-term dislocation from our major competitors. Our performance which will come in a longer time, in fact, over the last four years we had really strong performance. As we look at short-term, we feel we have a capacity, we need to continue that, invest in our brands and continue to innovate and again we expect to grow share and in the category growth as well. So, short-term, we feel good about our [indiscernible] business and we continue to do what we've done over the last four years, that's continuing with the category.
Jeff Siemon: Thank you. Why don’t we go to the question?
Operator: Certainly. Our next question is from Andrew Lazar with Barclays. Please proceed.
Andrew Lazar: Good morning. Happy Holidays everybody.
Jeff Harmening: Happy holidays.
Andrew Lazar: Thank you. Jeff, I'm curious how General Mills thinks about sort of the balance between, let's say shorter term profitability given the dramatically higher cost to serve currently versus the potential for longer term benefits from sort of stepping up and servicing the customer and consumer in this difficult environment. So, I guess what gives you the confidence that fulfilling this excess demand at this higher cost is sort of worthwhile, and like where is the cut-off and where you would decide to like forgo a sale, not suggesting we're kind of at that point yet?
Jeff Harmening: Yes Andrew, I mean one of the main reasons, we spent quite a bit of time looking at the trade-offs between things like customer service and margin and sales growth and that sort of thing. And we always try to make sure we play the long game at looking at these things. We've been around for 155 years because we play the long game. What I would say, in this environment there is a huge trade-off, but I'm not sure there is a trade-off between higher service level cost and that's because if we were to take our foot off the gas on service, what you would -- what we would find is that we create more deleverage and we would incur fine because and be more inefficient and get fine for our retail customers because the more efficient and then we'd be shipping truckloads stuff that we're probably most efficient, and so there really isn't a cost trade-off. So, I don't -- we would not be making more money if we look less at our service. We feel it's our responsibility at the end of the day is to the end consumer and making sure they have the products they want to our retail customers and by filling that we're doing our job. The only thing we would gain by lessening service on margins look at the moment better, but our sales will be down, but we wouldn't make any more money for General Mills' shareholders, we certainly are going to generate more cash then we're generating now either.
Andrew Lazar: Got it. And then -- thanks. And then Kofi just a quick follow-up. In the outlook, I think you say General Mills expects back half EPS growth to be more weighted to the fiscal 4Q. Does this mean you see some, even if modest, EPS growth in 3Q and just far more in 4Q or do I not have that right? Thanks so much.
Kofi Bruce: I appreciate the question. But it really reflects is our expectation that we will see an improvement off of the margin decline that we just posted in Q2 and sequential improvement on that as we work around it from Q3 to Q4.
Andrew Lazar: Thank you.
Operator: Our next question is from Nik Modi with RBC Capital Markets. Please proceed with your question.
Nik Modi: Thank you. Good morning everyone and Happy Holidays. I guess the question Kofi is if you can just give us some context on the inflations, delta in terms of the guidance? Where were things worse than you expected? And then the other question I had just around price elasticity. I mean we've heard a lot of companies talking about things are better than expected, but it just seems like the retailers aren't passing all the pricing on. So, I wanted to get your thoughts around that as we kind of go forward over the next few months and quarters.
Kofi Bruce: Sure. Let me start with your first question. So, just as a reminder on the frame here, about 55% of our input costs are sitting in raw packaging materials, 30% in manufacturing, and the remainder in logistics. And what we really saw that kind of accelerated was in particular our raw and packaging material moving out to double-digits, logistics, which we now expect to -- which was already in the double-digits, continued to survive the loss of that base, and manufacturing remaining in the low single-digits. In particular, as we look at sourcing and packaging, aluminum, resin, fiber, raw materials, green fats and oils, and these are particular pressure price as well as [indiscernible] we look at logistics structure. And then on your second question in relation to elasticity--
Jon Nudi: Sure, its Jon. So, one of the things we are really pleased with is our strong capabilities that we've built over the last five to six years and got a lot more data and analytics that we lever, so [indiscernible] company acquisition. So, we've been closely monitoring, obviously, the pricing that we've taken, reflection that we see in market and that's really meeting our expectations at this point. We have seen elasticity something better than what we would have modeled historically to-date. As we move to the back half, we expect to see a bit more elasticity and we'll continue to monitor that. With our capabilities there, [indiscernible] take the system where we’re literally looking at pricing from a -- on a daily basis and continue to moderate adjusted.
Nik Modi: Great. Thanks a lot guys.
Operator: Our next question comes from Robert Moskow with Credit Suisse. Please proceed.
Robert Moskow: Hi thanks. Hope everyone's well. I wanted to know in your raising your prices, Jon, and you're showing customers your inflation and your ingredients like 8% to 9%, do you also show them the supply chain disruption costs that you're incurring? And is it possible to justify the pricing based on this? Because, like, a customer could argue that maybe some of that's transitory. So, I want to know how that conversation goes?
Jon Nudi: So, I've been here for a long time and I continue to make conversations are no easier than they have been in the past. I think everyone recognizes inflation and I was -- our job is to justifications, so we spend a lot of time building the case. Most of that case has been built around inflation and market basket. So, I think with that we will stick over a longer period of time. Certainly, retailers are very aware in the short-term supply chain costs that we're incurring and they are incurring the same and cost, but at this point, really don't understand the conversations. Again really focusing on some of the more macro factors and inflation to justify the pricing.
Robert Moskow: Yes, so that's kind of my question, Jon. So, is it more difficult than to factor in supply chain disruption as justification? So, like the pricing that you're taking, is that designed to offset 8% to 9% inflation longer term or is it also designed to offset some of this disruption as well?
Jon Nudi: Yes, so if you look at our pricing as well, we would offset the inflation, it's really the short-term supply chain costs, obviously that really the bogey for us. That is our composition of the retailers. And again, we want to make sure that we price in a way that is right for our consumers as well, so we're balancing how much pricing we could take, how much is wanted, and then really leveraging these strong capabilities that we build off. So, we're trying to take a long view from a pricing standpoint and clearly, there is some short-term trends that are challenging the supply chain investment.
Jeff Harmening: But Robert, I think you bring up a good point, Jon answered it well. But some of these supply chain disruptions, they will be transitory and we would expect them to improve for the rest of our fiscal year as noted by Kofi earlier. But over the longer term, I mean the supply chain will get more efficient. We had a terrific Asia now productivity capabilities and so we are highly confident that these costs over time are costs that business will not bear. So, even if September conversation we have with retailers now, we are confident that over time once the market stabilizes, these are costs that we can recoup in our P&L.
Robert Moskow: Got it. Okay. Thanks a lot.
Jeff Siemon: This is Jeff Siemon. I have one more point to add to, maybe hit the nail on head. While we don't expect these disruption environment necessarily to improve meaningfully in the back half. As Kofi said, we do expect our margin performance year-over-year to improve, which is really all about the comparisons which get quite a bit easier as we have more other supply chain costs in the back half of last year. So, the cost that we're seeing this year on a year-over-year basis will be less of a headwind, which is -- which really drives gross and operating margin improvement in the back half.
Robert Moskow: Okay. Actually I have more questions, but it's Christmas. So, this is my gift to you is to not ask -- small gift, but something.
Operator: Our next question is from Jason English with Goldman Sachs. Please proceed.
Jason English: Hey good morning folks, and Happy Holidays. Jeff Siemon, you just clarified one of my questions with Kofi. But I going to still ask the question with the finer point. Year-on-year, obviously the gross margin pressure is going to subside just given the comps you have, but you've got price mounting or climbing to the quarter -- the rest of the year and also inflation coming. As we think about sequentially, your gross margins dipped down in the second quarter. Is this a floor level based on what you know today? Could we expect -- should we expect sequential growth in gross margins?
Jeff Siemon: I think I think what you can expect is we will see improvement off of the decline and sequential improvement as we move through from Q3 to Q4. And that's about as far as we've implied in the guidance we've given.
Jason English: Okay, so implicitly that 3Q margins could be weaker than 2Q. Next question. The U.S. consumer is still obviously very flush with cash. But one of your competitors has already noted that trade down began to resume in categories like cereal. Are you seeing something similar across any of your categories? And what are you planning for in regards to trade down behavior, price elasticity, et cetera, as we begin to cycle a pretty big stimulus early next year.
Jon Nudi: This is Jon. We have seen the dynamics play out. When we look at our business, most of our categories in our business is strengthening. As we look at share versus private label, private label lost share in the pandemic, we lose continue share and we're continuing to monitor that. We believe that building our brands and innovating and doing what we know best, we're driving our business. And if you look back historically during the times of recession, again our brands performed well. So, at this point, we haven't seen any change in dynamics.
Jeff Harmening: And I would add on that Jason. We haven't seen in foodservice either. We haven't seen in pet. We haven't seen in Europe. We haven't see in China or Brazil. So, we simply haven't seen that behavior.
Jason English: Yes, I haven't seen it either. I was surprised by your competitor noting it, which is why I asked the question. But thanks a lot for the clarification guys. Happy Holidays.
Jeff Harmening: All right. Thanks Jason.
Operator: Our next question is from Steve Powers with Deutsche Bank. Please proceed.
Steve Powers: Yes, hey, thanks and good morning from me as well. On the supply chain disruptions that you're seeing in labor shortages, et cetera, taking all your prior comments in context, I guess, are there -- is there a cadence that you're expecting or you're places where you're a little bit more optimistic whether categories of bottlenecks or geographic overlays, is there a -- there are places in what you're facing now where you're relatively more optimistic versus not in terms of finding that release? I'm just curious.
Jon Nudi: Yes, hey Steve, it's Jon. One of the challenges right now is the disruptions are really across the entire supply chains, on some cases it's material disruptions is really impacting the category, in other cases, where capacity is constrained which is extremely a challenge for all of our businesses. I think in one area that we do believe will get better as move to back half is material disruptions and that due to the actions we're taking, we're bringing on alternate suppliers where in the past not even single source in particular ingredient, production in looking in back half. Our sourcing team has been doing a great job really find submission and we will see some of this come online for some key ingredients are really hard us through Q2 and I think that's the one area that we do expect to get a bit better. We do expect our service levels to remain challenged in the back half of the year with the Q3 will look a lot like Q2, with the Q4 will get better, but look more of a Q1. So, an average, we think our services will look similar in the back half.
Steve Powers: Okay, great. Just to be -- just to clarify that. So, you're expecting that relief to come in the ingredient sourcing, but more because you're diversifying and less because the conditions get better, is that fair?
Jon Nudi: That's fair and today we've not seen a huge improvement and availability across materials and every time we see something get better, something else goes the other way around. So, continues to be [indiscernible]
Steve Powers: Okay, great. And then the other question I had was just on Europe and Australia where the margin pressure is obviously exceptionally acute. Just as you go into annual price negotiations there, just your -- based on what you're talking about so far, just your relative confidence that that will be a source of relief -- a further relief in the fourth quarter as those negotiations take effect?
Jeff Harmening: I think you you've outlined the constraints on pricing in that environment. There is a pretty firm negotiation window for pricing. I can't comment on anything forward-looking, obviously, but what I will confirm is that that's why you've seen our margins on EU under a little bit more pressure than the rest of the segments, and in particular, as you look at pricing as a contribution onto to sales growth, you will see that reflected there. So we'll leave it there and it's -- I just add it's also it’s a small business, so its 5% 10% of our total sales.
Steve Powers: Yes, understood.
Operator: Our next question is from Wendy Nicholson with Citigroup. Please proceed.
Wendy Nicholson: Hi good morning. My first question has to do just in terms of the magnitude of the pricing that we should expect to see on shelf. I think the last few months, you said it was 9% average increased at retail in North America. Can you give us a sense for how high you think that would be maybe over the next six months?
Jeff Harmening: Yes, I think we generally don't comment on forward-looking pricing and just know that we have pricing already in the marketplace that we've already announced to our customers and so we're confident that that it will be higher in the second half of the year, but overall we don't comment on the specifics of forward-looking pricing.
Wendy Nicholson: Okay, fair enough. But I guess my question is with regard to the competitive activity, I know you said private label really isn't a threat and they're not gaining shares, but sort of over a longer term basis, your share trends have been neutral effect, but I assume at some point competition is going to sort of fight back harder and maybe in terms of cereal, your competitor -- your major competitor has their hands tied behind their back a little bit from a supply perspective. But can you talk about what you're seeing maybe from some of the other branded guys in North America in your other categories, are they being as equally aggressive on pricing? Do you expect them to step-up promotion in an effort to gain share? Just maybe what you're seeing kind of in the store right now?
Jeff Harmening: I think it's probably best to let our competitors talk about what their pricing is going to be and what their outlook for the business is. One of the thing that I'm most proud of Wendy that you did note, and I'm glad you noted is that we've gained share over a long period of time and we've been doing in North America Retail, we’ve been doing in our pet business. We've been doing it in Europe and China and Brazil. And so one of the things I'm most proud of even in this tough environment, we continue to keep very, very effectively and I think that's a sign of the quality of our execution and our customer service levels. And so no matter what -- and that was happening before the pandemic, it's happened through the pandemic, it's happening now and so I think that is the most important thing. A lot of the time our competitors we're not constrained by supply and they did not have material disruption. And so those things come and go and we take them as they come and go. But one of the things I am most pleased about is our performance. We've have been able to do all of that while reshaping our portfolio and so we've added pet brands and this worked really well. We've divested our yogurt business in Europe and now announced a dough business and we restructure our organization. So, we've been able to have all this competitive quality with that, while navigating a lot of changes internally as well as externally.
Wendy Nicholson: And just in terms of the North America business, I assume one of the big contributing factors to your market share being has been the innovation we've seen, which has been terrific, seemingly across the portfolio in North America Retail. But I assume innovation kind of comes in ways, some quarters are stronger than others. And I'm not looking for specifics or things you haven't announced yet, but just generally can you comment kind of thinking maybe about calendar 2022, if you think the innovation pipeline things to come or as strong as you've launched over the last six to 12 months, just sort of conceptually as innovation still set to be a good a strong driver of hopefully more -- even more market share gains. Thanks.
Jon Nudi: Yes, sure. Hi Wendy. As Jeff noted, we've been performing well over a long period of time and to the point is really by focusing on the fundamentals and one of those fundamentals is innovation. So, brand building and innovation are key to our brands over time. And one of the things that we did view during the pandemic was pulled back on innovation that we kept innovating and our customers really appreciated that. We've kept the pedal down. So, as we move into calendar year 2022, we'd expect see similar levels of innovation versus what we saw in the past year, in some case we got some better ideas and are quite excited about. So -- and the other thing, whether there is inflation or not, the fundamental is less about building our brands and innovating and we'll continue to that as we move forward.
Wendy Nicholson: Terrific. Thank you.
Operator: Our next question is from Pamela Kaufman with Morgan Stanley. Please proceed with your question.
Pamela Kaufman: Good morning. Happy Holidays. During the quarter, in North America, you mentioned that your shipments lagged consumption by about 2% because of the service challenges you experienced. Can you just elaborate on what some of the dynamics were that contributed to that? And would you expect this to continue into the back half of the year? And I guess as a follow-up, is that -- is it related to inventory levels and do you feel like you have adequate inventory levels to meet elevated demand into the back half?
Jon Nudi: Yes, hi Pam, clearly as we talked about lots of challenges in supply chain and those have impacted our ability to service our customers or service levels, during the quarter when the low mid-teens versus high 90s targets as the result, we couldn't ship to all the demand that we saw, so a result retailers drew down a bit of inventory in the quarter and that was the gap that you talked about. As we look to the back half, we do expect our service level to be similar to the front half. We wouldn't expect to certainly close that gap as we move through the back half of our fiscal year. Clearly, our goal is to continue to strengthen our supply chain as we get into fiscal 2023 and beyond, we do believe that we'll be in better shape and yield service all above that that is there. One of the things that we pivoted to is we mentioned on shelf availability, we think that's really important. And while it's certainly not where we wanted be is and it's better than our competition, our share of sales in Q2 now being on the shelf is lower than our competition as well and that's really a testament to our supply chain and the great job that we are doing and the communication we have with the customers.
Pamela Kaufman: Great. Thanks. And can you talk about what short-term initiatives you have on the operational side to manage the disruption that you're experiencing in the supply chain? And I guess over the longer term, are there any changes that you're making to operations or increasing investments and capabilities or automation in response to the current operating environment?
Jon Nudi: Yes, for sure. We look back to lot of the practices that we put in place at the beginning of the pandemic, so one of the things we have are daily [indiscernible] meeting historic level for North American retail, I share a weekly supply chain huddle together with all of our senior leaders across the business talk about these issues and trying to help our team work through some of the challenges that are out there. We're leveraging data analytics one of the things just and continue for a long period of time, is really increasing our investments and our capabilities there, and that's starting to bear some fruit. So, if you think about the number of trucks we have running across North America, we can show that they are more full than they are currently, that's good for us, good for our business, good for our customers, good for our margins. We're seeing the leverage in that technology. We have a host of other initiatives from a data standpoint, analytics standpoint and supply chain will help us over time. And we're also giving a look at our distribution centers and there are some opportunities, some of those facilities where we're challenged right now from a labor standpoint. So, we have a host of things happening. But at the end of the day, our communication is probably the most important trends, communication with our vendors to make sure the ingredients will be given to keep our pricing running, and then we spend a lot of time meeting with our customers, all been tighter from a supply chain standpoint. Really wanted to know in real-time where we are and we've done to make sure the service done the best we can also the service the consumers.
Pamela Kaufman: Thank you.
Operator: Our next question is from David Palmer with Evercore ISI. Please proceed.
David Palmer: Thanks. Good morning. Happy Holidays. Just looking back at your presentation slide number 32, which is that gross margin waterfall chart. Thanks for that. There is no numbers on some of those steps in the chart, but it looks like the supply chain disruptions, deleverage, and other is a large part of the -- or the majority of the decline, if you net out everything else. In other words, about 300 basis points. Maybe you can confirm if that's at least ballpark correct? But also, obviously these effects are not new to the quarter. I mean how would do you think about that same line item, supply chain disruptions, deleverage, and other through the year and what's implied in the guidance for the second half?
Jeff Harmening: Yes so, let me add. So, thank you for the question David. Let me start with Q2 and then I'll talk about what to expect going forward. So, I think your read is about exactly right. So, just to be very certain, I think you got is about 300 basis points or so related to the combination of those disruption factors and the H&M and price/mix in the quarter offset the impact of the inflation. But I think going forward what you can expect as you move into the back half is a step-up starting in Q3, the contribution from price/mix. I would expect inflation to be roughly equal front half, back half. So, this is pretty evenly spread across the quarters and so nothing material there. And then in easing in the drag of the headwind from the other supply chain disruption costs, not because -- but because as you think about the comparison in the last year, we saw a ramp-up in other costs, primarily driven by our step into greater external supply chain costs. So, we don't expect these costs to ease. We expect them to -- those cost we saw last year. So, effectively, that's how to think about the back half of the year and what drives the margin improvement as we step from Q3 to Q4.
David Palmer: Great, that's helpful. Thank you. And then you mentioned in one of your remarks that you thought the price elasticity would perhaps get a little less good, but lag and less favorable later in the year, and what is your thinking there? I think it was Jon that made that comment. I mean, how much -- we had something we've been thinking a lot about, is it the lapping of stimulus for greater availability of private label or value brands that have perhaps been more supply chain constrained. What you're thinking about price elasticities as you get further into say calendar 2022? Thanks.
Kofi Bruce: Yes. So, let me start first. I think I might have just spoke. I said inflation will balance -- inflation actually stems out in the back half, H&M is balanced. But to your question on elasticity, we are assuming a moderate increase in price elasticity, although still below our historically levels in the back half. So, that's what is contained in our sales and profit guidance.
Jon Nudi: I think we're just trying to be pragmatic, right. So, all the things you mentioned, David, are real, sometime snap benefits are decreasing a bit, although still elevated since 2019 levels. So, from a planning standpoint, we're just trying to be pragmatic and elasticity standpoint. We'll see how things play out.
David Palmer: Got it. Thank you.
Operator: Our next question is from Chris Growe with Stifel. Please proceed.
Chris Growe: Hi, good morning.
Jeff Harmening: Good morning.
Chris Growe: I'll add my Happy Holidays as well. I had just two questions. The first one will just be in relation to this incremental $500 million in inflation from your initial expectations, I'm just curious if you could frame how much of that is cost inflation and how much of that is the pricing disruptions? I think you said that's incorporated into that figure. Just to get a sense of like what's ongoing, what will stall for, and what -- and hopefully will be transitory?
Jeff Harmening: It's a great question Chris. I'll -- let me take a crack at it. So, as you think about the $0.5 billion of increased cost that came in since the start of the year in our -- of that, a little less than half of that is sitting in inflation. So, which we're now estimating to be 8% to 9% for the full year, and that implies in obviously double-digits in the back half. The other half is really relating to those factors in the disruption in the supply chain, so most of which is driven by a direct costs that things that Jon alluded to inefficiency in trading, supply all the things that we're doing in this environment to ensure in key customer service levels.
Chris Growe: Okay. Thank you for that color there. And then just a follow-up question. I think a but to Dave's question, but -- so this quarter had a stronger pricing performance than I expected, but the gross margin was weaker. And I'm just try to understand the incremental inflation you're feeling that did more of that as you think about for the year and more of that come through in 2Q causing that weaker gross margin. I'm trying to flip that with your comments about second half inflations that we have versus first half. So, -- but in the quarter was that a more heavy -- a heavier drive on the gross margin?
Jeff Harmening: The drag came from a combination of inflation and really we saw a step-up in the cost of disruption in Q2 as we move from Q1 and Q2. And so that was actually a bit more of the driver as we look into the quarter. And then I think as we go forward, as I alluded to, we expect our price/mix contribution from actions that we've already announced and negotiated with customers to start probably mid-quarter and then ramp fully into Q4.
Chris Growe: Okay. Thank you for your time.
Jeff Harmening: Thanks Chris.
Operator: And our final question will be from Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: Thank you. Good morning.
Jeff Harmening: Good morning Michael.
Michael Lavery: You've obviously talked a lot about the disruptions in the various stages of supply chain. Can you just give us a sense in your guidance what you're assuming relative to a vaccine mandate and what that might do at impact the labor market or testing costs or both?
Jeff Harmening: We actually don't have a specific provision for vaccine mandate. Obviously, it's still working its way through course, but we aren't expecting it to have a material impact on our guidance beyond what we already painted.
Michael Lavery: So, if it did stick, you've got -- the incremental cost would be pretty modest or just capture again what you already allow for?
Jeff Harmening: Yes, I think it's far more of the second, Michael. It gives us coverage.
Michael Lavery: Okay, great. And then on the North America Retail components, you're snacks business is pretty significantly outperforming. But it had been for a while one of the laggards. Can you just maybe give a sense of what's really given that a boost? And if it's related to a better ability to supply product or is there, is it more innovation than some other factors?
Jon Nudi: Yes, hi Michael. So, we see the grain category and the bar category really accelerate during the lockdown and people get back to be being more mobile. So, the categories are nice. Our business actually and largely up 16% in Q2. Just not quite as much of the categories. And we'll continue to stay focused on building the brands, we're still the number one brand in the category [indiscernible] innovation month in the past first half. And then we're seeing lot go to the kids segments, so that's probably one area that we're queuing up. We're doing nicely these products we have, you see some competitor products like [indiscernible] treats that are growing really mostly off the same base. So, that’s probably the one area that we're losing competitor share. But overall, we like with competing in bars and we just focus innovation and brand building. There are new snack products, category we really like through snacks and spend and many category for us over the last four to five years are big challenges than keeping up from a capacity standpoint. We continue to be challenged from capacity standpoint, we get more coming a lot in the back half and we'll continue to grow that business nicely, double-digits, which is really exciting. So, we like our snacks business and how it's performing.
Michael Lavery: Okay, great. Thanks so much.
Jon Nudi: Thanks Michael.
Jeff Harmening: Okay, I think that's all the time we have this morning. Appreciate everyone's interest and good questions and discussion. Thanks for sticking with us during the holiday week. We wish everybody a restful holiday season and before we catching up in the New Year. Thanks so much.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.